Operator: Good afternoon, and welcome to B. Riley Financial’s Fourth Quarter and Full Year 2018 Earnings Call. My name is Hector, and I will be your conference operator. Earlier today, B. Riley issued a press release with its financial results. A copy can be found in the Investor section [ph] of the company’s website at ir.brileyfin.com. As a reminder, this call is being recorded. A replay of today’s call will also be made available on the company’s website. Joining us today are Bryant Riley, Chairman and Co-CEO; Tom Kelleher, Co-CEO; and Phillip Ahn, CFO and COO. After management’s remarks, we will open the line for question. And before we conclude today’s call, I will provide the necessary cautions regarding forward-looking statements. I will now turn the call over to Mr. Bryant Riley. Mr. Riley, please proceed.
Bryant Riley: Thanks, and welcome, everyone. Thank you for joining us on today’s call. 2018 was another year of substantial growth for B. Riley Financial. Throughout 2018, we focused on finding ways to better leverage our expanding resources and capabilities to drive new opportunities across the entire B. Riley platform. We also completed several important acquisitions during the year, including the acquisition of GlassRatner and magicJack which we expect will be meaningful contributors to the future of both the Capital Markets business and Principal Investments business respectfully. We believe that our overall results for the year speak to continued momentum across our businesses and also to the unique ability that we have to successfully capitalize on the opportunities our growth has created for us. As it relates to our fourth quarter, the revenue growth we achieved in our Liquidation, Appraisals and Principal Investments segments was offset by trading losses in our investment account under our Capital Markets segment results. The losses were due to declines in the portfolio value at year-end, which were in line with the performance of the broader markets in December and have since been recovered in the first quarter rebound. To be clear, we were comfortable with the investments we made in spite of the uncharacteristic losses. This activity is core to our business. We take position in the companies and we believe to be undervalued and take advantage of dislocations in the market. Our platform is very unique. To put this in perspective, we cover over 500 companies in research, conduct appraisals for an additional 900 companies, and provide a variety of specialized services for many more. If we cannot find unique opportunities from this broad and unique platform, then we are not doing our job for shareholders. We will continue to use our balance sheet to support our clients and as an engine to drive outsized returns over a long period of time. Mark-to-market losses aside, it’s an important to note that we saw meaningful revenue growth across each of our distinct segments for the year, including our Capital Markets segment. This was a direct result of our team’s collective efforts across the entire platform. Our strong results are a testament to the talent we have across our distinct businesses and I’m incredibly proud of the entire B. Riley team, and what we have accomplished in a relatively short period of time. We have worked extensively at organic growth in each of our divisions, in addition to revenue and cost synergies as we continuously integrate our various operating subsidiaries. In 2018, our Capital Markets business benefited from the continued integration of B. Riley FBR, the addition of B. Riley Wealth Management, which we rebranded in the latter half of the year, as well as the addition of GlassRatner starting in August. Looking ahead to 2019, we expect our Capital Markets segment will benefit from a full year of operations of GlassRatner as well as the continued integration of GlassRatner across other segments as we look ahead. Last year was also a banner year for our Great American Group retail liquidation division. We successfully completed the liquidation of the inventory assets of Bon-Ton Stores. For a sense of scale Bon-Ton was one of the largest U.S. liquidations in retail history by inventory value. We completed the liquidation of over 200 stores with associated inventory value at approximately $2.2 billion. In 2018, we also participated in the liquidation of Toys "R" Us which contributed to our strong results in the segment. Momentum in this business is carrying forward into 2019 as a liquidation of Bon-Ton real estate assets continues to be under way and with our recently announced participation in the liquidations of Gymboree and Payless Shoes. The Payless store closing event, which began on February 17, is the largest liquidation by store count in retail history with sales being conducted at approximately 2,100 stores and associated inventory value at over $1 billion. In January, the firm announces participation in the liquidation of 798 Gymboree and Crazy 8 stores across the U.S. and Canada. We believe much of our success in this business can be attributed to Great American Group’s established expertise and leadership in the asset disposition space, as well as collaboration with other business units, including GlassRatner, investment banking and asset management, and we expect to see more in 2019 as the trends in the retail industry continue. Our Great American Appraisal business also achieved another record year which is a direct result of the team’s efforts to expand revenue source and improve profitability. This business has been a steady source of earnings and we believe that the investments we made in the business positions us make segment for future growth in 2019. In Principal Investments, United Online continues to serve as a significant source of steady income and cash flow, and we expect our recent addition of magicJack will also contribute to our Principal Investments segment’s results in future quarters. Based on our 2018 performance, the strength of our balance sheet, and most importantly, the confidence we have in our business going forward, we believe the company is stronger than ever, and we’re excited for the opportunities ahead. To that end, we are reiterating our previous guidance for 2019 with a forecast for adjusted EBITDA to be in the range of $115 million to $135 million, and net income in the range of $39 million to $45 million. As I take a step back and think about the body of work we’ve accomplished over the last four years, I realize that our strategic vision has been a constant despite and in many ways because of our impressive growth. We firmly believe that the best way to service both our clients and shareholders is with the suite of complementary synergistic and unique offerings. To that end, we work hard at making the collection of businesses substantially greater than its individual parts. 2018 was a great step forward on that journey and we have an incredible opportunity to continue to diversify and grow as we look into 2019 and beyond. Before I turn the call over to Phil Ahn, our CFO and COO, I would like to take a few moments to briefly address the Rent-a-Center deal and related litigation. We believe that the purported termination by Rent-a-Center of the Merger Agreement is invalid, and the reverse break-up fee would not be payable under those current circumstances, whether the termination was valid or not. The trial was held in Delaware Chancery Court on February 11 and 12 with oral arguments and post trial brief set for March 11. We expect the judge to deliver ruling after that, but we can’t speculate how long that might take. It is impossible to predict the outcome of this litigation with any certainty. We are committed and ready to execute on the terms of the merger we agreed to in June 2018. We are not able to opine on this matter beyond what I just shared. So we would appreciate keeping any questions at the end of our call focused on our company’s performance. Now, I will turn the call over to Phil to provide a summary of our financial metrics. Phil?
Phillip Ahn: Thanks, Bryant, and welcome, everyone. For the fourth quarter of 2018, revenues totaled $102 million compared to $110.2 million for the same period in 2017. As Bryant mentioned briefly earlier, the decline in revenue for the quarter was impacted by losses of approximately $16 million in our investment account, which are included in our Capital Markets segment results. For the full year 2018, total revenues increased to $423 million compared to $322.2 million for the same year-ago period. Results for 2018 included a full year of revenues for B. Riley FBR and B. Riley Wealth Management, in addition to partial year contributions from GlassRatner and magicJack, which we acquired in August and November respectively. Turning to our revenue mix and operating income by business segment. Our Capital Markets segment includes results from B. Riley FBR, B. Riley Wealth Management, Great American Capital Partners and GlassRatner. For the fourth quarter of 2018, Capital Markets segment revenues totaled $60.6 million compared to $84.4 million for the same year-ago period. This segment recorded a loss of $12.5 million for the quarter, which included approximately $5.9 million in restructuring charges, primarily related to severance in the rebrand of B. Riley Wealth Management, as well as the previously mentioned investment portfolio losses. For the full year Capital Markets segment revenues increased to $275.1 million compared to $189.7 million for 2017. Segment income for the year totaled $10.2 million compared to $15.9 million for the same year-ago period. Results for the year in our Capital Markets segment were driven primarily by an increase in revenues from investment banking and wealth management services with the additions of B. Riley FBR and B. Riley Wealth Management to our full year results, as well as the addition of fees generated from GlassRatner since August 2018. Now, turning to our Auction and Liquidation segment, which is primarily driven by our Great American Group retail liquidation division. For the fourth quarter, revenues increased to $10.1 million compared to $4.2 million for the same year-ago period. Segment income for the quarter increased to $2.3 million compared to $0.1 million for the same year-ago period. For the year, revenues in our Auction and Liquidation segment increased to $55 million, up from $47.4 million in 2017. Segment income increased to $27 million for the year compared to $11.2 million in the same year-ago period. Results for this segment were primarily driven by the firm’s involvement in several large retail liquidation projects during the year. As we’ve made note on previous calls, our Auction and Liquidation segment results tend to vary from quarter-to-quarter and year-to-year due to the impact of the periodic large scale retail liquidation. Next is our Valuation and Appraisal segment, which includes results from Great American Group Advisory and Valuation Services. For the quarter, revenues in this segment increased to $11.3 million, up from $8.5 million in the fourth quarter of 2017. Segment income for the quarter increased to $3.4 million, up from $2.5 million. For the year, revenues in our Valuation and Appraisal segment increased to $38.7 million, up from $33.3 million in 2017. Segment income totaled $11.1 million for the year compared to $9.7 million for the same year-ago period. Results in this segment for the fourth quarter and full year represented record year-over-year revenue growth for the appraisals business, which was driven by an increase in appraisal engagements and a strong leadership from our management team in this subsidiary. Our final segment is the Principal Investments segment, which is primarily driven by results from United Online and magicJack, which we acquired in November of last year. Q4 2018 revenues in our Principal Investments segment increased to $20 million, up from $13 million for the same year-ago period. Segment income for the quarter increased to $5.7 million compared to $5.3 million for the same year-ago period. For the year, Principal Investments segment revenues increased to $54.2 million, up from $51.7 million in 2017. Segment income for the year totaled $19.4 million compared to $19.5 million for the same year-ago period. Now, turning to our profitability metrics, which are attributable to B. Riley Financial as a whole. Net income for the full year 2018 increased to $15.5 million or $0.58 per diluted share in spite of the net loss of $8.8 million or $0.34 per diluted share for the fourth quarter. Fourth quarter net loss includes approximately $6.3 million in restructuring charges related to severance and the rebrand of B. Riley Wealth Management. This compares to a loss of $6.1 million or $0.23 per diluted share in the fourth quarter of 2017. Fourth quarter 2018 adjusted EBITDA totaled $11.2 million compared to $21.4 million for the same year-ago period. For the year, adjusted EBITDA increased to $89.6 million, up from $69.8 million for the same year-ago period. For the fourth quarter of 2018, adjusted net income totaled $0.7 million or $0.03 per diluted share. This compares to $11.6 million or $0.44 per diluted share for the fourth quarter of 2017. Adjusted net income for the full year of 2018 was $38.8 million or $1.45 per diluted share. This compares to $38.5 million or $1.59 per diluted share for the same year-ago period. For more information about adjusted EBITDA and adjusted net income and a reconciliation to the nearest GAAP measures, you can refer to the section in today’s earnings release regarding the use of non-GAAP financial measures. Now, turning to some highlights of our balance sheet. As of December 31, 2018, B. Riley Financial had $179.4 million in unrestricted cash and cash equivalents, $37.7 million due from clearing brokers, $236 million in net securities and other investments owned, $38.8 million in loans receivable and $540.5 million in total debt. Our total B. Riley Financial stockholders’ equity was $258.1 million as of December 31. Shares outstanding at the end of the quarter totaled approximately 26.6 million. As Bryant mentioned earlier, we are reiterating our guidance for 2019. For 2019, we’re forecasting adjusted EBITDA to be in the range of $115 million to $135 million and net income in the range of $39 million to $45 million. Lastly, our Board of Directors approved a regular quarterly dividend of $0.08 per share, which will be paid on or about March 28, 2019 to stockholders of record as of March 19, 2019. That completes my financial summary. And now, I’ll turn the call back over to Bryant. Bryant?
Bryant Riley: Thanks, Phil. Now, I’ll share more detail on recent developments and some updates from each of our business by segment. I’ll begin with our Capital Markets segment, which includes our B. Riley FBR banking and brokerage business, our B. Riley Wealth Management RIA business, our asset and fund management business, which includes GA Capital Partners and the addition of GlassRatner. B. Riley FBR’s business was stable in Q4, despite the trading losses we mentioned at the top of the call. During the quarter we completed several notable banking deals, which contributed to our Q4 revenues and we have a robust backlog of deals in our pipeline as we look ahead. Our work with SPAC continue to be a key driver of revenue and we expect to see increased activity in this space in early 2019. Our securities lending and fixed-income division performed well throughout 2018, despite the volatility in Q4, and we expect these divisions to continue to perform well in future quarters. As it relates to institutional brokerage in our research platform, we recently announced the firm’s realignment and research, and our efforts to increase our focus on small and mid-cap opportunities. We eliminated coverage of approximately 70 larger cap names in January, and have reallocated resources on existing small and mid-cap names as well as also in new initiations. There are a few catalysts for this decision, but the primary one is our ability to find proprietary investment ideas that appreciate in value. Personally, my view is that the larger the market cap, the harder it is to differentiate valuation. We’ve been focused on the small cap market place for over 20 years. Small caps have been the basis for much of our success and are core to our roots as a firm. This May, we will be hosting our 20th Annual Institutional Investor Conference in Beverly Hills. This event has become a mainstay in the small cap community for two decades and is a marquee investor event for networking. We are as enthusiastic as ever about the opportunities we’re seeing in this space, and it is an area, where we believe we can provide differentiated service. Now turning to B. Riley Wealth Management, which is our retail brokerage and RIA business. This business continues to be a steady contributor of earnings for us each quarter. In 2019, we are continuing to focus on growing the business in markets across the country where we have presence. Our recent rebrand has helped to align our business in the external marketplace and build better recognition for the broader platform among new recruits. We believe our combined platform provides financial advisors and independent RIA practices with an attractive alternative to grow their businesses versus what the traditional wirehouse can offer. Moving to GlassRatner, which is a specialty advisory firm we acquired focused on bankruptcy, litigation, transactions and crisis work. On the heels of our merger in August of last year, business at GlassRatner continues to be incredibly active, particularly for bankruptcy and restructuring services, and in the healthcare and agricultural space, where we have been retained on numerous new matters. The firm has added a number of new professionals in key markets, where we believe there’s opportunity to continue to support our growth and expand our services. In addition, GlassRatner continues to serve as a great source of referrals for other entities on the B. Riley platform, and we expect to see more cross-sell directives and collaboration in the future. I can’t say enough about the leadership in this group. They had jumped into our firm headfirst and quickly become important leaders of the whole firm. On the asset and fund management side of our Capital Markets segment, Great American Capital Partners or GACP, our direct lending fund, has been deploying capital at a fast pace focused on out of favor sectors, where traditional lenders have been hurt such as retail and energy. Our GACP fund one is fully invested and GACP II is expected to be fully invested in the second half of the year. The ABL lending market for non-bank lenders have been growing over the last few years as larger credit managers see it as an additional strategy to their cash flow strategies. As a result, we are continuing to see a number of attractive opportunities for GACP and have been adding to the infrastructure of this business. We expect GACP’s growth to continue in 2019. Now, moving to our Auction and Liquidation segment. At the top of our call, I talked about the momentum we saw in our Great American Group retail division in 2018. That momentum has already carried over into 2019. We expect to realize significant contributions from the Bon-Ton liquidation results for the first half, in addition to the results from our current involvement in Gymboree and Payless liquidations. We expect to see high levels of market activity to continue through Q2 as distressed retailers continue to focus on retail – real estate consolidation and purging excess inventory. Turning to our Valuation and Appraisal segment, which consists of Great American Group Advisory and Valuation Services. Appraisal business saw an increase in revenue across all of its divisions in Q4 and put up another record year in revenues. Strong performance in this division is a direct result of our efforts to expand revenue sources among specialty finance and existing core asset-based lending clients, and increasing our industry targeted direct selling efforts. We have historically pointed to our Appraisal business as a steady source of earnings. However, with the investments we made to improve operations and profitability and our concerted efforts to drive new sources of revenue, we believe this segment has an opportunity to contribute meaningful growth in future quarters. Now, moving on to Principal Investments. In addition to United Online and integrating magicJack under our Principal Investments unit, we are actively managing multiple minority investments, including our ongoing partnership with BV. Our guiding principle has always been to find unique investment ideas that can generate outsized returns on the large platform I outlined earlier. Our management team in this group is as good as it gets and implementing operational efficiencies and we will continue to seek opportunities that can utilize these skill sets. Additionally, this past November, we announced an agreement to purchase Fortress Biotech’s 49% ownership stake in National Holdings. We purchased 24% at first closing and completed the second tranche of 25% earlier this year after obtaining FINRA approval. We believe the National’s retail distribution combined with our existing B. Riley Wealth Management and institutional business can provide a power distribution network, as evidenced by the IPO of legacy homes in December, which we work – both work together to complete. To summarize my remarks today, we are extremely pleased with the continued growth we saw in 2018 and the momentum of our franchise as we look forward to the opportunities in 2019. We recognize we cannot have accomplished what we have without the support of our employees, partners and investors. With that, we’re ready to open the call for your questions.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Wes Cummins with Nokomis Capital. Please proceed with your question.
Wes Cummins: Hey, thanks. Hey, Bryant, I don’t mean to push on this, but since you guys gave your guidance a few months ago, it seems like that the Payless liquidation and other liquidations you’ve announced and that kind of a reversal in the market. Did you expect that in the guidance that you’ve given – given that you maintained at the spend level?
Bryant Riley: So, hey, Wes, I would say that we didn’t expect that. I think what we’re trying to balance is what we are seeing in our business and some opportunities, and a strong business with the volatility of the markets. Obviously, liquidations is not a perfect science, some of that is fee, but some of it is principal and we’ve got some concentrated positions, but I think we’re off to a really good start and feel optimistic about all the business units.
Wes Cummins: Okay. And then my other question is, historically, you’ve paid out 20% or 25% of EBITDA and dividend. do you expect to continue to do that? I think you’ve implied kind of $1 plus in dividends for the year?
Bryant Riley: So, we’ve also been buying back some stock as we’ve announced, but I would say that, we believe strongly that if we were given the opportunity to run this business, we’re running it for long-term and we’re also running it to make sure that our shareholders receive a return and it’s defined. So as you think about us, I think using that 20% to 25% EBITDA number makes a lot of sense. And at the appropriate time, if we felt that it was the appropriate time, we would – we’d raise the regular dividend and then just balance that off with the special dividend. So, yes, I think that philosophy will be maintained.
Wes Cummins: Okay. Thanks.
Bryant Riley: All right. Thanks, Wes.
Operator: [Operator Instructions] This concludes our question-and-answer session. I’d now like to turn the call back over to Mr. Bryant Riley for closing remarks.
Bryant Riley: Great. Thanks, Hector, and thanks everybody for joining the call. We’ll be hard at work until the next quarterly call and appreciate everybody’s interest and to the extent that there’s employees and others on the line, we greatly appreciate all the work. Thank you.
Operator: Before we conclude today’s call, I would like to provide B. Riley Financial’s Safe Harbor statement that includes important cautions regarding forward-looking statements made during this call. Statements made during this call about B. Riley Financial’s future expectations, plans and prospects, as well as any other statements regarding matters that are not historical facts, may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors should be aware that any forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those discussed here today. These risk factors are explained in detail in the company’s filings with the Securities and Exchange Commission. Please refer to these filings for a more detailed discussion of forward-looking statements and the risks and uncertainties of such statements. All forward-looking statements are made as of today and except as required by law. The company undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. Further, this conference call included a discussion of non-GAAP financial measures, the most directly comparable GAAP financial measures and information reconciling these non-GAAP financial measures to the company’s financial results prepared in accordance with GAAP are included in the earnings release. Thank you for joining us today for B. Riley Financial’s fourth quarter 2018 earnings conference call. You may now disconnect.